Eric Lakin: Good morning. I'd like to welcome everyone in the room and on the webcast to the TT Electronics 2025 Half Year Results Presentation. I'm delighted to be here today to present the results as Chief Executive of TT. This follows a permanent appointment decision by the Board of Directors last month, and I'm grateful for the trust placed in me by the Board and for their support. I'm also very happy to introduce you to Richard Webb, our Interim CFO, who joined us in May this year. It's been a remarkably busy 5 months since the 2024 results were announced in April, and we have made significant progress since then. In the first section today, I will cover the headlines for the half, including the key financials and an update on the actions taken to stabilize the business. Then Richard will take us through the results in more detail. In my second section, I will share more of my early impressions of TT's business. I'll also talk about the overall direction of travel and provide more color on the outlook for the remainder of the current year. We will then take Q&A. Before I start, however, I wish to recognize and thank all of my colleagues for their hard work, commitment and support during what has been a challenging time with significant change. Overall, TT has made solid progress over the past few months, including significant strides with the business improvement in North America, and we're on track to meet expectations for the full year. Our European region has once again performed well as momentum continues, benefiting from our strong long-term positions on several Aerospace & Defense programs. For the Asian region, business operating margins held up through our Lean business program in Suzhou despite being impacted by some order delays for certain customers. With regard to our North American business, there have clearly been a number of challenges to navigate over the past 12 to 18 months. In the first half of this year, we have taken prompt action to stabilize this North America region. In April, we announced that we were launching a strategic review of the underperforming components business. As a result of this ongoing review, we took the decision in June to close our loss-making Plano site in Texas, which lost around GBP 6 million last year. We also established a separate management team for components to focus and provide greater oversight. We stepped up action to turn around the loss-making Cleveland site. We deployed external consultants to undertake a full operational review of the business, which has now concluded, and the local management team is now at full strength. I feel confident that we have turned a corner with the performance of this business. More about that later. Our drive for inventory reduction continues to progress well, which contributed to an excellent cash conversion outcome of 135% in the half and leverage of 1.9x, which is within our target range of 1 to 2x and slightly ahead of our previous guidance. Richard will cover this in more detail. Overall, I would summarize the first half as a transitional period. While the performance in the half doesn't reflect many of the operational improvement actions taken, these actions do underpin both the second half improvement in profitability and future run rate profits. Importantly, we continue to expect full year adjusted operating profit to be in line with market expectations. So let's take a closer look at the operational turnaround projects in turn. Firstly, the Components' strategic review. The Components business has a different operating model and characteristics from the other TT businesses of Power Electronics and Manufacturing Services. We are, therefore, undertaking a strategic review that was started in the second quarter. Components is a more transactional higher-volume business with shorter lead times and therefore, has less future visibility than other parts of TT. The route to market is predominantly through distribution channels, which also tends to exacerbate the stocking and destocking trends. Consequently, I believe it is the right decision to give this business separate management focus within TT, and we are already seeing benefits from this new structure, including tailored initiatives for pricing, marketing and product development. This will ultimately drive improved performance through volume, margin and overhead recovery, especially when we see a positive turn in the industry cycle. We continue to monitor levels of our Components' product inventory held by distribution partners. And as you can see from this graph, encouragingly, the stock levels have been showing a consistent downward trend. Although we haven't yet seen a significant uplift in new order intake, it is encouraging to see a stabilization of order levels. A key action to improve the performance of the Components business was the decision to close the Plano site to stem the losses. Production is planned to discontinue by the end of this year. The factory is currently fulfilling demand from last time buy orders, which also helps underpin the second half improvement for the business. We are now expecting cash closure costs of around GBP 4 million, which is lower than originally anticipated and delivers a payback of less than 1 year. Now for an update regarding the ongoing activities to improve performance at the Cleveland, Ohio site. There has been a lot of activity at this site, and I'm pleased to share some recent data. In fact, Richard and I were there last week along with the Board, and we were heartened to see the significant progress being made. I'm glad to report we have turned the corner in Cleveland, having implemented a detailed improvement plan, which was developed with our local site team in collaboration with the external consultants. The plan incorporates multiple margin and cash flow initiatives, including pricing, production planning, inventory optimization, procurement and efficiency measures manufacturing processes at the site have become more efficient, supported by improved factory layout, process optimization and waste reduction. You can see the outcome of these initiatives in the two charts on this slide, which show encouraging trends. In the blue column chart, productivity, which is defined as standard hours earned divided by total labor hours paid, has been consistently improving during the year and has now reached our target level. June was an expected temporary dip due to a planned 1-week factory shutdown to improve the layout and flow. Productivity improvement has been delivered partly through a reduction in scrap and rework hours, which can be seen in the purple column chart. In addition, we have further reduced headcount at the site, which is down 17% since the beginning of the year. More efficient operations has led to improving service levels to our customers, including on-time delivery, which puts us in a better position to tighten our commercial terms for legacy low-margin contracts. The benefit of this work stream will be delivered over several months as existing contract terms come up for renewal. We have also completed a comprehensive balance sheet review, which has resulted in a largely noncash restructuring charge in the first half of GBP 5.7 million, predominantly related to aged and obsolete inventory. Now that the external consultants have completed their assignment, the improvement project work streams are owned by the Cleveland team. There is full commitment from this team to continue to deliver on the improvement plan, and it was very encouraging to hear updates from them last week. So hopefully, that gives you a good feel for the progress with our short-term priorities, especially as we focus on improving the operational performance in North America. Now I'd like to hand over to Richard to go through the first half numbers in more detail.
Richard Webb: Thank you, Eric, and good morning, everyone. This is my first set of results with TT having joined the group in May, and I'm really pleased to be part of the great TT team. It's been a busy few months, but I'm pleased with what has been achieved and the actions taken to stabilize the business. Clearly, it's been a mixed half with continued strong profit progression in Europe, offset by specific challenges at two North American sites and order delays for our Asia business. Now moving on to the group financial metrics. Throughout the presentation, I'll refer to organic performance. This reflects the performance on a constant currency basis and with the impact of last year's Project Albert divestment removed. Revenue was down by 6% organically. If we exclude the Plano site from both periods, we would have been down by 4.3% organically. As already communicated, Plano will be closed by the end of the year. Adjusted operating profit declined by 29.7% organically to GBP 13 million as strong operational gearing in Europe was more than offset by 2 loss-making North American sites. Adjusted operating margins dropped by 180 basis points on an organic basis to 5.5%. Adjusted EPS declined to 1.9p, reflecting the reduction in operating profit and the impact of a much higher effective tax rate in the current year as we cannot currently recognize a deferred tax asset for the U.S. We've taken the prudent decision to focus on strengthening the balance sheet and have decided to continue the pause on the dividend and will not be paying an interim dividend. Return on invested capital was flat at 10%. This metric benefited from a reduced denominator following the December 2024 impairments of North American goodwill on components assets. And just to flag, half 1 2024 has been restated, mirroring the restatement of the 2024 full year we highlighted in our announcement of the 10th of April. This all relates to North America. On this slide, we're showing the revenue bridge, which adjusts for the Albert divestment and FX and shows the makeup of the 6% organic revenue decline. Our positioning on long-term programs in the strong Aerospace & Defense end market has driven the growth in Europe, offset by the issues at two sites, Plano and Cleveland in North America and the order delays impacting our Asia business. Similarly, for adjusted operating profit, you can clearly see the strong drop-through on the European revenue growth. However, this was more than offset by circa GBP 3.5 million of losses at Plano and the Cleveland challenges, which Eric explored earlier. On a more positive note, we're really pleased with the strong cash conversion of 135% in the first half. Net debt, excluding leases, reduced further to GBP 73 million. This is a GBP 36 million reduction since the end of June last year, and we're very happy with the good progress on cash conversion and debt reduction. Free cash flow was GBP 6.4 million. Over the last 18 months, there's been a significant focus on reducing our inventory levels, and this initiative resulted in a GBP 5 million contribution to the half 1 cash flow, putting us well on track to delivering the commitments to a GBP 15 million reduction in inventory by the end of 2026. We closed the half with covenant leverage at 1.9x. As profits recover and cash generation continues, we expect to see a slight further reduction in leverage over the remainder of this year. Looking at the cash conversion in a bit more detail. Working capital movements were a net inflow of GBP 0.9 million in the half. This comprises the GBP 5 million of underlying inventory reduction mentioned just now, partially offset by a GBP 3 million creditor reduction and a GBP 1 million receivables increase. It's a much better picture than half 1 last year, where there was an GBP 18 million working capital outflow. We expect working capital movements in half 2 to remain broadly neutral. Before we move on to the performance of the regions, it's worth looking at end market revenue, which shows similar themes to 2024. Aerospace & Defense continues to grow strongly with the main benefit showing through in our European performance. Healthcare was down 6% organically, driven by the well-documented reduction in U.S. research grants and funding into the sector. Automation and Electrification declined by 14% organically, reflecting end market weakness for our customers. And finally, Distribution, which is where we have continued to experience our main challenges, with a 17% organic reduction. The biggest impact was in the North America region, particularly for our Plano site. As Eric mentioned earlier, we are now seeing distributor inventory levels stabilize. Now moving on to the regional performance. The European region continues to perform well, reflecting our long-term positioning with key customers in the A&D sector. We have built on a strong 2024 performance to deliver a 5% revenue increase on an organic basis and a 34% organic increase in adjusted operating profit. Operating margins have further improved, up 330 basis points, to 15.6%, benefiting from a favorable product mix in the half, good operational leverage on growth and further efficiency improvements coming through. Order cover for the region remains very strong, and we expect to deliver further organic revenue growth for the year as a whole. Clearly, North America has faced another difficult half given the slow components market and the execution challenges at our Cleveland site. However, as Eric has explained, action has been taken. And although not visible in the first half results, we expect to see evidence of these actions in our second half performance. Revenue was down 10% on an organic basis with some good growth in Kansas City, where a successful turnaround has been achieved from the challenges noted last September, more than offset by declines in Cleveland and in Components. If we exclude Plano from both periods, the organic revenue decline is 5.8%. The GBP 5 million loss in the region includes a circa GBP 3.5 million loss at the Plano site, which will be closed in the second half. In the half, we have booked restructuring costs taken below adjusted operating profit with GBP 6.7 million booked in relation to the Plano site closure and GBP 5.7 million for restructuring of Cleveland, which is mainly inventory related. As we look into the second half, a combination of higher revenue, management actions taken, such as the Plano closure and the Cleveland improvement plan means we expect the region to return to profitability in the second half, although the region is expected to be loss-making for the year as a whole. Finally, Asia, which has made another good contribution to the group despite lower levels of revenue, reflecting order delays due to geopolitical and related uncertainties. On an organic basis, revenue was down by 9%. Operating profit reduced by 14% organically, driven by the adverse impact of volume reductions. 2025 is a transition year for the region with the ongoing transfer of production for a major customer at their request from China to Malaysia. This is progressing to plan. The region is still delivering a strong margin performance with margins broadly maintained at 13.2%. Revenue in the second half is expected to be slightly lower as the order delays are expected to continue. The drop-through impact will result in half 2 margins being marginally lower than half 1. I wanted to highlight on this slide the ongoing balance sheet derisking. Inventory has reduced by GBP 22 million in total. GBP 5 million was a result of the sustained hard work on our ongoing inventory reduction initiatives, as I mentioned for the cash conversion slide earlier. These initiatives are expected to further reduce inventory in the second half, and we are on target for achieving the previously stated GBP 15 million reduction by the end of 2026. This is on top of the GBP 14 million reduction in inventory delivered in 2024. Separately, the Plano closure announcement has resulted in around GBP 5 million of inventory being written off below adjusted operating profit and the comprehensive balance sheet review at Cleveland also resulted in a circa GBP 5 million of inventory being written off, also below adjusted operating profit. As previously flagged, profit in 2025 is expected to be weighted to the second half. This slide gives some of the building blocks, not drawn to scale, to deliver the step-up in second half profitability. The Plano and Cleveland sites were significant drags on half 1 profitability. The decision to close the Plano facility and subsequent last time buy activity into the site in half 2 will provide a positive contribution. The Cleveland improvement plan will start to deliver improved performance. We have also factored in the impact of the ongoing order delays for our Asia business. We expect full year adjusted operating profit to be in line with market expectations. With that, I'll hand back to Eric.
Eric Lakin: Thanks, Richard. So having spent much of the presentation so far looking back and reviewing the turnaround activities and progress, what's next? It is still early days in my tenure, which has been focused significantly on steadying the ship, but I do want to share with you some of my early take and direction of travel. TT has foundational capabilities, but there remain areas where we still need to improve our operational efficiency and leverage all of our assets across the business. We must continue to develop our people, products and market positioning to drive sustainable shareholder value in the long term. I'll shortly be covering examples of where we have been investing, technology, for future growth. In the meantime, our short-term priorities are clear. We must complete the fix of operational issues, complete the Components business strategic review, including performance improvement and restore confidence and deliver on our commitments to all stakeholders. I also want to mention that early on in post, I empowered the three regional heads by bringing them onto the executive team. This brought clear lines of responsibility and accountability and encourages collaboration across the organization. The executive team also now includes a leader for the Components business. Beyond our short-term focus, we also need to look further out strategically and drive top line growth. I've been impressed by many things that I've observed, getting to know our business and our employees over the last few months, which I think goes to the heart of the underlying investment case. TT is focused on structural growth end markets driven by megatrends and rising demands. While there have been some short-term softness related to geopolitical uncertainties, I believe ultimately that these are the right strategic markets to be in. Our engineering, manufacturing and sales teams have deep domain and application knowledge across these sectors. TT has particularly strong capabilities in Power Electronics, including Conditioning and Conversion and Electronic Manufacturing Services, known as EMS. TT offers high specification, highly customized electronics for mission-critical applications, which provide strategic advantage through differentiation. We collaborate with our blue-chip customers on long-term programs, and I believe there's a real opportunity to accelerate targeted investment in innovative technologies and products compatible with customer needs. A good representation of TT's strength is demonstrated by some significant recent customer wins, including a GBP 23 million contract this month with long-standing customer Kongsberg. Next, I want to remind you of the broad customer relationships we have across our end markets, which is so important for the business. We are proud to work with many blue-chip customers with whom we have long-term relationships. In fact, our top 10 customers have all been working with us for over a decade and many have been partners for 20 years or more. First, in Healthcare, Asia has secured some notable contract wins this year, reinforcing our regional strategy supporting life sciences OEMs with local production capabilities. In North America, our Minneapolis site is working with a medical equipment partner on next-generation surgical device development that use electromagnetic tracking technology. In Aerospace & Defense, we see continued growth opportunities with the NATO commitment to raise Defense spending targets from 2% of GDP to 5% by 2035. And we're also seeing momentum in civil aviation, driving demand for new aircraft and spares. For Automation and Electrification, we are well placed for growth through the cycle with strong brands across different specialist sectors, including semi equipment, power, security, rail and data centers. This chart may be familiar to you, but it illustrates our business model and customer spend patterns and how we seek to partner to support our customers from the concept stage through to full-scale production, leveraging our global footprint for engineering and manufacturing at each stage of the product life cycle. This development path varies by market and some programs can extend for many years with high barriers to entry in regulated markets, which provides visibility over long-term revenue streams. We have established a group-wide engineering and R&D function to leverage TT's expertise across all regions with product road maps for all sites. I've been greatly impressed with the technology and industry experts at our sites who help develop solutions for our customers' challenges. The image on the left shows how TT combine a fully integrated offering. For example, the use of our magnetics devices on our PCB assemblies, which along with our hybrid microelectronic devices can be designed into high-level assemblies. A core product of TT is our power units, which can incorporate our own PCBs as well as TT connectors and cable assemblies. On the right, it is an example of our customer-led approach to investment. Silver sintering is a key manufacturing capability that enables cutting-edge power modules for critical applications to be fabricated using the latest silicon carbide semiconductor devices. This represents the next-generation technology, enabling higher power with superior reliability and thermal performance within a smaller, lighter package, which are particularly valued by Aerospace customers. Another investment example is Altitude DC, our high-voltage direct current power system that was launched at the Farnborough Air Show last summer. We developed this in collaboration with the Aerospace Technology Institute as well as shared investment with them. This platform provides efficient and reliable power conversion solutions to enable longer duration flights at higher altitudes in civil aerospace, defense and air mobility vehicles. The modular design means reduced development time and costs and simplifies the qualification process. So that's just a couple of examples I wanted to share with you to illustrate our investment in the future. Let's finish with an outlook for the remainder of the year. We are clear on our short-term focus to deliver improvement in operational performance and margin and have taken decisions to accelerate this. This includes a component strategic review and the planned closure of Plano as well as the Cleveland turnaround project. Very important to me this year is -- and the future for TT is that North America is expected to show a step change in performance, leading to a return to profitability in the second half. Yes, it's still expected to be loss-making for the year as a whole, but it's good to have positive momentum in the region. This sequential improvement, together with further second half progress in Europe and a resilient contribution in Asia is expected to underpin a significant uplift in profitability in the second half of this year compared to H1. As stated earlier, we expect adjusted operating profit to be in line with market expectations. While our short-term priorities are clear, I plan to share further thoughts for the longer-term strategy in the new year. In conclusion, following my first few months in the business, I am convinced that we have a robust platform for growth with leading products and capabilities, deep customer partnerships in attractive end markets, and this makes me excited for TT's future. So now we're happy to open up to questions, initially from those in the room. There's also a facility for those on the webcast to submit questions, which we'll cover after those in the room. Thank you.
Eric Lakin: Okay. First hand up.
Mark Jones: I'm sure that's working. Mark Davies Jones from Stifel. Could I ask about the Asian business, please? Because clearly, the U.S. has been a priority and you're getting scripts with that, but delays seem to be drifting onwards in Asia. When does delay come -- become work that's not coming your way? And if you're relocating business from Suzhou to Malaysia, what does that mean in terms of ongoing capacity utilization at the China plant?
Eric Lakin: Yes. Thanks, Mark. So overall for Asia, First, in terms of the production transfer, that's going very well and to plan. That was quite a significant transition for one customer in particular. It represented GBP 20 million or more of annual revenues. That will be complete this year. There was some safety stock that was purchased last year in the first half of this year. So that will contribute to some short-term softness as that safety stock is sold and consumed by the customer. I mean, overall, that does mean there is capacity for the Suzhou site. We have 4 SMT lines there and a very capable workforce. We have taken some modest adjustment to the headcount there to counter the transfer of business from Suzhou to Kuantan. But the underlying growth, if we look at the -- there's two large customers in particular, where we're seeing some softness in end customer demand patterns, partly due to the geopolitical uncertainty we've been talking about, specifically with the ongoing uncertainty around tariffs, it's difficult to know where they will be in 3, 6, 9 months' time. Some of the decisions made to agree the supply chain and location of fabrication has meant that there are some delays in those orders, which feeds into short-term softness in revenue. The good news is we're not losing business. We have a diverse portfolio with different geographies to provide offshore, both China and Malaysia, but also nearshore with Mexico, with the Mexicali EMS facility, but also indeed Cleveland. We're having increasing discussions with some of our key accounts and new accounts about onshoring production and EMS into the Cleveland site. So we're doubling down on our regional Asia for Asia projects. In fact, we're increasing our resource for business development headcount in Asia, including China, to grow our book of business with local customers in China. And we're having some good early traction with wins within the region so far. So I think I see it as temporary short-term softness in Asia, which we've not seen before due to specific end customer demand patterns and uncertainty. But over time, and as we go into certainly the second half of next year, we see a return to growth from our existing customers, but also as we see benefits for new business opportunities and new customers.
Mark Jones: And maybe one for Richard. Lot of moving parts in the numbers. I wouldn't say I've read every page of the release yet from this morning. But in terms of setting the baseline for revenues, obviously, you restated the first half. Have we got full restatements on the same basis for the full year numbers? And how much of that revenue is Plano? So how much drops out next year from that?
Richard Webb: So we're not going to give specific guidance on Plano specifically. But in terms of the restatement, so we've restated 2024 half 1 on a consistent basis with the 2024 full year restatement, which is about GBP 1.1 million of revenue that was taken out of the 2024 half 1.
Vanessa Jeffriess: Vanessa Jeffriess from Jefferies. Just to start on a really positive note in Aerospace & Defense, obviously, seeing a lot of momentum there. Can we continue to expect double-digit growth over the next couple of years? And is the margin improvement in Europe all from operating leverage? Or is there more self-help to come through?
Eric Lakin: Yes. So in terms of the first question, we're seeing continued growth momentum in Aerospace & Defense, as you'd expect, particularly on the Defense side. That's largely in Europe, but also increasingly in North America as well. We're getting defense contract wins in Kansas and Cleveland. I mean, this month, in particular, is a particularly strong month. We'll have -- this year will represent a record order intake for our Europe business. So certainly very strong demand and a lot of these contracts are multiple years. It gives us good visibility over the future years and particularly underpins a continued growth into next year. I couldn't -- I wouldn't comment on double-digit growth for the next 2 years because it's -- you're starting from a higher base, but we certainly expect continued growth over the next couple of years, if not beyond, which is very good from that tailwind. And ongoing discussions with customers, we expect to see more of that. I think in terms of the operational leverage, it's largely down to increased revenue and over a well-maintained cost base. There's some other initiatives as well in there, partly mix. We have some increase in some spares, which is higher margin, but also some other self-help initiatives, including some pricing reviews and changes, which helps the margin as well.
Vanessa Jeffriess: And then on Asia -- obviously, you've just explained all the drivers behind the delays. But I think it's fair to say that your decline was maybe a little bit bigger than some of your peers. Coming into the business, do you think that you are as well set as peers to deal with the volatility that's arisen from tariffs?
Richard Webb: Yes. It's -- I mean it's a fair observation. I'd say we've got specific large customers that have impacted the revenue for this year. And in particular, it's the extra stocking and safety stock from last year is partly contributing to that. And we're seeing, as I mentioned, some order delays. And some of these -- we're having live discussions with them right now. They're looking ahead and trying to understand, for example, U.S. import duty from Malaysia is currently 24%. Is it going to go down to 15%, 10% or less or stay where it is? So the -- we're set up, so we don't incur direct tariff costs through our Incoterms, it's a customer that bears those costs. So we don't see that, but our customers do. And it can be, in some cases, quite significant. So they are choosing to consider where to place business with us and whether that's Asia or Mexicali or Cleveland. So we are seeing that perhaps more acutely than the general market because of the nature of some of our customers. There is some also compounding that some specific end customer softness, particularly in healthcare, you've got some reduced R&D spend in North America, which is affecting some of the equipment devices that we sell into in OEMs. And for other specific reasons, some current softness in the automation electrification space. But we don't expect those conditions to prevail for the indefinite future and expect -- I think -- we expect certainly, by the middle of next year, return to growth for the Asia region.
Vanessa Jeffriess: And then just finally, on North America, you said that for a while that there's been no customer losses. But maybe if you can talk about how your customers are responding to hearing the business under review, under separate management?
Eric Lakin: For the Components business specifically?
Vanessa Jeffriess: Yes.
Eric Lakin: It's -- yes, I think the -- I mean, the immediate impact was quite acute in Plano. We've got some last time buys, which I mentioned at premium pricing, which is obviously contributing to the second half uplift. But more generally, what -- because it's quite a different business, as I've explained, it hasn't really had the focus to support our customers as it might have done in the past under the previous divisional structure. So by addressing that and having separate management and focus on individual customer conversations, both with the distributors, which is most of the -- mostly sold through indirect channels but also end customers. We have a lot of touch points with them on engineering, product design, pricing. We're already seeing the benefits of that anecdotally and more generally. And we've just had very little marketing, for example, in that business when you're competing with much larger competitors, Bourns, Vishay and so on. It's really important to keep getting the message out there of new products and the capabilities and the specifications of those products. So that's certainly helping. In terms of the fact that it's under strategic review, we're not -- I mean, it's not really impacting our day-to-day business. I mean my position on that is we're keeping options that -- the priority is to improve performance. And whatever we choose to do in the future, whether or not we decide with the best owners, it will only help that.
Unknown Analyst: Just starting with capital allocation. Clearly, deleveraging has been a key aspect of that. I was just wondering if we could get any color on what -- whether there's kind of any key milestones we should look out for the resumption of the dividend? I'll just start with that one.
Eric Lakin: Yes, fair question. Yes, so I'm not going to predict when we would resume the dividend at this point. But it's fair to say some of our investors really value the dividend, and it's a good discipline as well to distribute surplus cash. We will review it at the end of the year. And as Richard outlined, we expect to continue to deleverage at the end of the year, and we'll reflect on the -- I mean, the priority is to get balance sheet strength and support the lending banks and make sure that we got very good covenant headroom. But at the right time, we'll certainly look to reintroduce the dividend.
Unknown Analyst: Perfect. And just one more, if I may. I mean, it feels like the business is stabilizing as you've kind of alluded to in your presentation. I guess I'm just keen to get more of a sense of how you're kind of managing the culture through what's been obviously a very turbulent time. And are you still able to kind of attract and retain the best talent? And what are you doing around that?
Eric Lakin: Yes, that's an interesting question. Yes, it's really important for the organization because it often gets overlooked with a huge amount of change and disruption at the top management team within the organization, with the plant closure as well. I've made it a very high on the list to communicate a lot internally. We have regular meetings. We've reinstated pulse surveys around engagement and responding to those -- the most useful part about that is you get the sense of how people are feeling and what to do about it. And the [ heart ] of it, as you'd expect, is communicate, communicate. And we're doing lots of explaining what we're doing, why we're doing it and the benefits of what we're doing and making the business stronger. And that's really, I think, resonating. We're seeing improvement in the survey results that are coming through. And I make a point of having regular town halls, both all hands and the sites I go to. And I think what's the -- how does that manifest? The attrition rates we are seeing are higher than I'd like them to be generally. But if you look across the manufacturing sector as a whole globally, we are no worse, about -- better than the average. So it is a challenge, particularly some of the sites we're at. It's notoriously difficult to attract and retain people at all levels, including direct labor. But I think we're actually -- we're measuring up okay. There's room for improvement. But I'm feeling it's getting appropriate attention because it really matters, obviously, business is heart of it is our people.
Harry Philips: It's Harry Philips, Peel Hunt. A couple of questions, please. The -- just thinking about tariffs in Asia and what have you and obviously, the relocation of some business into Malaysia. And I appreciate sort of -- it's directly outside your control, but do you envisage sort of going forward that there might be more sort of moves out of China by some of your customers and the need to follow? So I suppose the question is, how much sort of residual capacity have you got outside China to sort of facilitate that change?
Eric Lakin: Yes. No, great question. We have -- I mean, specifically, that one customer move was largely triggered, not so much by tariffs, by the U.S. CHIPS Act and wanting to not have China in the supply chain and IP. So we've addressed that, and that's been well received by the customer. Not seeing any signs of other customers needing to do that in the other sectors we're in. So it really becomes -- and obviously, the quality, in particularly our Suzhou factory is best-in-class. So generally, the decisions being made are economic. And we're not seeing any -- expecting other known transfers from Suzhou. I think, in terms of capacity, we've deliberately made a point of investing in capacity to support changes. So we -- the SMT line in Kuantan is now being well utilized also in Mexicali, EMS, and we've got spare capacity in the PCB assembly for the Cleveland site. So we're well placed. I mean our issue fundamentally is we need more orders and grow the revenue and volume. And that's the most fundamental way of improving our operating profit margin, by getting the leverage up and covering our overheads. So we are not short of capacity. That's not a constraining factor. So one of the things I'm doing now is a reorganization of the sales and marketing team, and we're investing more in business development resource across all regions, in particular in Asia and North America, to fill the factories. So we're well placed for any further moves or increases in orders.
Harry Philips: And then second question is just on working capital, so apologies in advance. Just -- I think your comment was that working capital will be broadly flat second half. And I'm just thinking, against the context of last time buy Plano, where clearly, by the year-end, you'd expect obviously cash in, if you like, against that last time buy, maybe it runs over a little bit into next year, but sort of -- and then also the rundown in the sort of safety stock. You were talking about in the context of the Asian switch, which doesn't sort of makes flat working capital sort of seem -- well, I would hope to expect maybe a reduction rather than just simply running at the same levels.
Richard Webb: So we're not going to see sort of 135% of cash conversion for the full year as a whole, but we will see very strong cash conversion. So there will be a kind of positive contribution for the full year. We will be seeing kind of balance sheet delevering continue, and we'll be within the kind of range of 1.5 to 2x but will be a kind of decrease from where we are at, 1.9x. So there will be a kind of good strong full year cash conversion for the group.
Eric Lakin: Yes. I mean specifically on second half working capital movement, I don't want to share -- go into the details. But I think there's certainly, the last time buy opportunity you referenced, and that is very much back-end year loaded. So a lot of the receivables we picked up in the second half of the year. So I wouldn't be surprised to see a growth in receivables at the end of the year. But it's -- we continue to drive down all parts of working capital where we can. And there's more to go with inventory reduction over time as well. Okay. Any other questions in the room? Otherwise, Kate, have you got any on the webcast?
Kate Moy: Yes. A question from Joel at Investec, and we touched on it a little bit. But can you talk a little more about the weakness in the automation segment? And to what extent is that an end market customer issue as opposed to a TT-specific issue?
Eric Lakin: Yes. So I mean, it's -- I would say, broadly, it is specific end customer demand softness. If I look at the -- in effect automated electrification is a lot of specialty industrial sectors that includes semiconductor equipment, in particular, rail, power, also bespoke postal equipment, smart card readers, ePassport. And we've got -- there's a handful of customers that they've just got current reduction in their end customer demand for different reasons. It's not -- certainly not a TT issue. We haven't had any issues in terms of production, supply, quality, on-time delivery. And so we are delivering to the customers' demand, requirements and production plan. And -- but ultimately, as I said, that sector should be growing. We're seeing -- I mean, it's probably without exaggerating the point, the semiconductor equipment market, some parts of the semi sector are going extremely well, as you'd expect, given the demand for increased amount of semi chips and AI and so on. Within that, though, the second order of the growth in the semiconductor equipment does vary by customer. And the U.S. CHIPS Act whilst offering significant opportunity, I think the last number was around $100 billion investment, there's so much uncertainty around that, and it takes time and a lot of planning to build up new fabs in the U.S. It has caused a pause in demand for a couple of our customers. So that's a contributing factor. So again, we expect long-term trends to improve, but short-term softness. So that's it from the webcast. Any final questions in the room? In which case, thank you all very much for coming. It's great to see a full turnout. That's heartening. Thanks for the questions, and I look forward to chatting to you later on. Okay. See you next time.
Richard Webb: Thanks, everyone.
Eric Lakin: Thanks.